Operator: Good day everyone. Welcome to today's Colgate-Palmolive Company First Quarter 2017 Earnings Conference Call. This call is being recorded and is being simulcast live at www.colgatepalmolive.com. Today's conference call will include forward-looking statements. Actual results could differ materially from these statements. Please refer to the earnings release and the most recent form 10-K and subsequent SEC filings, also available on Colgate's website for a discussion of the factors that could cause actual results to differ materially from these statements. This conference call will also include a discussion of non-GAAP financial measures, including those identified in tables eight and nine of the earnings press release. A full reconciliation with the corresponding GAAP measures is included in the earnings press release and is available on Colgate's website. Now for opening remarks, I would like to turn the conference over to the Senior Vice President of Investor Relations, John Faucher. Please go ahead.
John Faucher - Colgate-Palmolive Co.: Thank you, Sherlon. Good morning, and welcome to our first quarter earnings release conference call. This is John Faucher Senior Vice President for Investor Relations. Joining me this morning are Ian Cook, Chairman, President and CEO, Dennis Hickey, CFO, Victoria Dolan, Chief Transformation Officer and Corporate Controller, and Elaine Paik, Vice President and Treasurer. This morning, I will start off with some general commentary on the quarter, will then go into further detail on the divisional performance, and I will finish up with some color on our outlook for the rest of 2017. As Ian said in the Press Release, Q1 was challenging, and from an organic sales perspective it fell sort of our expectations. Overall, we saw continuation of the sluggish market environment we highlighted on our 2016 year-end conference call. Several of the issues we highlighted on our call in January improved as expected, including the impact of the Indian demonetization. That said we did see some additional headwinds this quarter, which I will detail as with we go through the divisions. Despite these headwinds, there were several positives in the quarter, particularly in terms of earnings growth, gross margin expansion, and operating cash flow growth. Taking a brief run through the P&L, our net sales were flat in the quarter with organic sales up 0.5%. Our sales growth continues to be led by Latin America, which saw 9% net sales growth and 7.5% organic sales growth in the quarter. Organic sales growth in emerging markets was 3%. Organic sales were down 2.5% in developed markets. Volume was down for the quarter offset by positive pricing. Our gross margin expansion continued in Q1 on top of strong expansion in 2016. Our gross profit margin expanded 50 basis points on a GAAP basis and 70 basis points excluding charges from the 2012 Restructuring Program. We saw solid benefits from pricing and Funding the Growth. Our advertising spend in the quarter increased 1% on a dollar basis and was flat as a percentage of sales against our strongest advertising quarter last year. Versus our full year 2016 advertising to sales ratio, our advertising to sales ratio in the first quarter 2017 was up 120 basis points worldwide with an increase across every single division. We still expect advertising spending to be up year-over-year on both a dollar basis and as a percentage of sales for full year 2017. Given that Q1 was a high quarter mark for our advertising to sales ratio in 2016, the year-over-year increase in 2017 will be more weighted towards the balance of the year. On a GAAP basis, we delivered high single digit EPS growth. Excluding charges resulting from the 2012 Restructuring Program in both periods, our diluted earnings per share in the first quarter 2017 was $0.67, an increase of 6% versus first quarter 2016. Cash flow performance was very strong in the quarter driven primarily by our growth in net income and continued improvement in our working capital performance, particularly on receivables and inventories. Over the course of the quarter, we reduced both our receivables and our inventories by more than one day versus Q1 2016. Our operating cash flow was up 13% year-over-year, while our free cash flow, which we define as operating cash flow less CapEx grew by 14%. We returned $678 million to shareholders in the quarter through share repurchases and dividends. This was almost a 20% increase versus Q1 2016. And now we'll move to the divisions. We'll start off with North America. As other consumer product companies have said, Q1 was a difficult quarter in North America. In particular, we experienced challenges in our hand dish business and saw consumption weaken across the vast majority of our categories, particularly in the United States. Combined with inventory reductions in retail, this led to a 5% decline in net sales and a 5.5% decline in organic sales. Volume was down 5% in the quarter with pricing down 0.5%. A restaging of our hand dish line led to some market share losses in the quarter. This restaging involved switching out SKUs which temporary limits our ability to promote the brands and has led to an increase in competitive activity and market share erosion. We believe this transition, which is almost complete in the mass channel and will be complete in the food channel in the second quarter, positions the hand dish business well for future growth through increased shelf space and more effective consumer promotion. With the completion of the reset later this quarter, and new advertising already in the market, we think this business is well positioned to rebuild market share. On the rest of our U.S. businesses, our market share performance has generally improved sequentially over the course of the first quarter after a drop in late Q4. In particular, we have seen sequential improvement in our oral care share performance in the United States. The sequential improvement in our toothpaste share performance has been aided by continued growth in our premium portfolio. Tom's of Maine continues to gain share. Our Q1 launch of Colgate Optic White Radiant in the U.S. which is being supported with the robust integrated marketing campaign including significant TV and digital advertising support, has also aided our share performance. We also launched Colgate Sensitive Pro-Relief Smart White in Canada another premium offering. The toothpaste category in North America and around the world continues to premiumize, and we are seeing success with innovation at higher price points. Year-to-date our mouth rinse market shares are up year-over-year driven by the Q1 launch of Colgate Total Advanced Health Mouthwash. When a consumer shakes the bottle, they combine the freshening and germ killing layers to reduce 24 times more bacteria than ordinary non antibacterial mouthwashes. Now we'll look at Latin America. Latin America continued to be a key driver of our growth in our portfolio, both on an organic sales and a net sales basis. Our net sales growth of 9% was driven predominantly by pricing, as volume was flat and foreign exchange provided a 2% tailwind. We continue to see growth in volume in Mexico driven by strong share gains in toothpaste. Year-to-date our Mexican market share in toothpaste is up more than 200 basis points to 82%. We have seen share growth across most of our toothpaste brands led by Colgate MaxFresh, Colgate Triple Action Extra Whitening and Colgate Anticavity. Mexico has also seen strong share gains in mouth rinse and bar soap. In Brazil, we maintained our leadership in the toothpaste category during the quarter with our year-to-date market share of 72.1%. Share performance was more mixed across the rest of Latin America. However, we expect this to improve going forward. We have several new product launches scheduled for the second quarter and we believe this additional activity along with our increased advertising investment year-over-year should result in more consistent share gains. Now we'll move to Europe. We are hardened by the sequential improvement in our volume and organic sales performance in Europe this quarter versus Q4 2016 which came despite some continued impact from our distribution issue in France. Europe net sales were down 5% in the quarter with organic sales down 0.5% and a 4.5 percentage point impact from foreign exchange. This represents an acceleration of 300 basis points on an organic basis versus Q4, driven by improvement in volume trends as volume was up 0.5% in the quarter versus negative 2% in Q4 2016. Net sales trends improved by 250 basis points sequentially as the improvement in volume was offset by slightly greater negative impact from foreign exchange. Encouragingly, for the quarter we saw sequential improvement in the UK and France from Q4 2016. Our volume in the UK was up nicely, and we improved our pricing on our base toothpaste business. In France, as expected, our business is still down year-over-year, but the rate of decline has lessened. As we discussed on our last call, we experienced the loss of some distribution in France. We began shipping again to that customer during Q1 and this should help improve our sales trends in France over the balance of the year. We also recently launched the Colgate Naturals oral care line in France. This product sells at a notable premium to the rest of our portfolio, which allows us to generate positive mix. We will be launching the Colgate Natural Extracts line in other European markets later this year. Other first half launches for the European division include Colgate Enamel Strength toothpaste, the Colgate 360° Advanced Toothbrush line and the restage of our Sanex Zero% line. Now Asia-Pacific. Net sales in Asia-Pacific were down 3% year-over-year driven mostly by the negative impact of foreign exchange. On an organic basis, sales were down 1%, a modest improvement versus Q4. For the quarter, volume was down 1% and pricing was flat. The primary challenge in this region was weakness in our China business where we saw significantly greater than expected retailer destocking due to the continued category shift from brick-and-mortar retail to e-commerce. While brick and mortar market shares in China were down year-over-year, we continue to see significant share gains online in China. This quarter we achieved e-commerce share leadership in China behind the Colgate and Darlie brands. Going forward, we also expect to benefit in China from the national launch of our Colgate Naturals oral care line, which Ian talked about at CAGNY. We conducted a test launch of this product in one retailer to validate the brand positioning and size of the opportunity. Based on the positive response to this test, we believe we have a premium concept that works and that we can roll out throughout China. Our Indian subsidiary has seen signs of recovery from the impact of the liquidity crunch in Q4. Urban consumption is back to normal. Rural consumption is still reflecting some lag effect as the wholesale channel has not completely bounced back. The Philippines also posted volume growth in Q1. Our toothpaste market share was up to 63% year-to-date, plus 110 basis points driven by market share gains on Colgate Triple Action and Colgate Sensitive. Along with the Colgate Naturals launch in China, Asia-Pacific should benefit from continued rollout of Colgate Total Pro-Breath Health toothpaste and Colgate SlimSoft Advanced toothbrush. Africa/Eurasia. The Africa/Eurasia division showed notable improvement in Q1. Our year-over-year growth in net sales, organic sales and operating profit all accelerated sequentially from Q4 2016 despite the continued impact from the distributor changes in our Sub-Saharan African business. The sequential improvement in volume performance was driven by South Africa and the North Africa/Middle East region. We're encouraged by the results from our new price tiering strategy on our base toothpaste brands in South Africa, which allows us to maintain household penetration, drive revenue growth and generate additional funds for advertising, all while driving margin expansion. Our advertising spending in Africa/Eurasia nearly doubled year-over-year in the quarter on a dollar basis. A notable oral care new product in the Africa/Eurasia division for first half 2017 is Colgate Total Pro Visible Action toothpaste which is being launched across most of the division. On the Personal Care side we have launched Palmolive Luminous Oils shower gel. Both products will benefit from significant advertising support. And finally Hill's. Hill's delivered 0.5% net sales growth for the quarter, driven by favorable foreign exchange. On an organic basis sales were flat year-over-year as the decline in volumes was offset by favorable pricing. Volume in the U.S. was down, driven by continued weakness in the U.S. pet specialty channel. We are making progress in regaining shelf space and promotional activity in pet specialty and continue to expect improved performance as we further align our strategic priorities with our top accounts in this channel. Our e-commerce growth continues to outpace the category as our e-commerce business nearly doubled year-over-year in the first quarter. Also our Prescription Diet business in the U.S. is growing nicely, driven by strength in the vet channel. Outside the U.S. we saw organic growth in Europe driven by our online business and consumption is up across almost all of our European markets. Our emerging markets business saw strong growth in both net and organic sales in the quarter. Hill's should continue to benefit from the recent U.S. launch of Hill's Science Diet Youthful Vitality, which is specially formulated for dogs age seven years and older to help fight the effects of aging. And now we'll turn to our outlook for 2017. As stated in our press release, we maintained our guidance of flat EPS on a GAAP basis and low single digit EPS growth on a non-GAAP basis. However, given the organic sales weakness in Q1, we now expect organic sales growth will be modestly below our historical target of 4% to 7%. Based on current spot rates, we expect net sales to be up low-single digits for the year with a slight negative impact from foreign exchange. We still expect gross margin expansion at the high end of our 75 to 125 basis points long-term guidance range. We will continue our intense focus on productivity. We have a strong pipeline of Funding the Growth cost savings programs for 2017. Furthermore, in the last year of our Global Growth and Efficiency Program, we continue to identify incremental opportunities to drive costs out of the organization. Our new organic sales outlook is based on an assumption that our category trends in the U.S. will improve versus Q1, but that growth will remain below the rates we saw in 2016. We expect sequential improvement in organic sales as we proceed through the year. There are several reasons why organic sales should improve as we go through the year. Our category growth rates in the U.S. have improved since the fall-off in February. We believe the performance of our U.S. hand dish business will improve as we finish the transition to our new SKUs. As we mentioned in the divisional sections, many of the headwinds that we saw in Q4 have lessened in Q1 and should be even less of an impact going forward. Our benefit from new products should accelerate as we deliver a broad array of innovation throughout the year, and the benefit from our additional sustained advertising investment. Finally, I have one housekeeping announcement. Due to scheduling conflicts, we will be issuing our Q2 earnings release and hosting our conference call earlier than normal this year. Our Q2 earnings release and conference call will be on July 21. Finally, let me clarify that the operator meant to refer to table 6 in our earnings press release in her opening statements.
Ian M. Cook - Colgate-Palmolive Co.: Thanks, John. This is Ian. I thought that I would make a few summary comments on our position going forward specifically around top-line growth and I thought I might do that in a couple of ways. Obviously, when we provided our fourth quarter results, we identified some challenges that we were working through. And John has spoken to them, but I thought I would summarize them in one place and then comment further on the additional challenges we have faced this first quarter and why we expect to make the sequential progress that we have talked about. So if we go back to the challenges identified in the fourth quarter, the India demonetization, the consumption is clearly recovering and is expected to continue to strengthen across the balance of the year. In terms of France, the shipping has recommenced with that customer. In fact, we are already seeing a short-term market share uptick and, again, that redistribution should benefit our sales across the balance of the year. For our U.S. pet distribution, we are making good progress in regaining promotional activity across all of pet specialty, commencing in the second quarter and again expected to influence the balance of the year. And as John mentioned, e-commerce with that business continues to grow at an extremely strong rate, and pleasingly for us over half of the e-commerce business for Hill's is subscription which talks to the loyalty consumers have with that brand. And finally, the fourth, Africa/Eurasia, clearly we've seen notable improvement. The distributor changes are behind us although, of course, we will face that comparison through the third quarter of this year. And then turning to 2017, in the first quarter there are two I would talk to. Much of which has already been said relative to North America and more specifically the U.S. business around consumption weakness, particularly through February, the related trade inventory reductions and, in our case, some dish share loss related to our transition of the complete portfolio and vulnerability to some promotional activity that we were unable at the time to respond to. That transition will be complete in the second quarter with a more competitive product formulation, more competitive sizing and pricing, and trial-generating advertising and promotion is beginning. And so we think when the transition completes, we are well positioned to rebuild share. On our other businesses, as John commented, market shares have generally improved from the fourth quarter with specific improvement in oral care and category growth itself has improved since the decline in February. China, I guess a tale of two cities in a way. Continued strong focus on the high growth area, which is ecommerce and where we now have share leadership between the Colgate and Darlie brands. But as John commented, some short-term value share loss in the brick-and-mortar outlets. Now, as I have said before, if one takes the long view over the last eight years, our company market share is actually flat at around 32%, and it is the two other principle multi-nationals who have lost share to the local brands. But short-term we have seen a value share decline. Interestingly, our volume share in China, short-term, is up, and that talks to the opportunity with our new innovation Naturals at a premium price point in order that we could convert that leadership volume share into a higher value share with more premium innovation, which is where that local marketplace is going to. Moving beyond the specific challenges, we do have a full pipeline of new products, increasingly at premium price points, well validated by the consumers, and we do have increased sustained advertising investment levels up absolutely and as a percentage of sales for the year with the real year-on-year benefit unfolding as the year unfolds. And we know our business is responsive to that support. For the businesses where it matters, we have a relentless focus on growing share in e-commerce. We continue in the emerging markets to bring new users to the category and increase consumption with our 25 plus year commitment to oral care education. And we do have an opportunity that we are working hard to capitalize on of converting our volume share positions, which tend to be higher in market than our value share positions with the efforts we have behind revenue management. We have, as we always have, a very disciplined focus on cash flow and returns, well-spoken to by John. All I want to focus on is our particular focus on productivity. We were pleased with our gross margin expansion of 70 basis points in this quarter and we still are committed to our gross margin expanding at the high end of our 75 to 125 basis points for this year and we continue to work hard to identify incremental opportunities to drive cost out of the organization in this last year of our Global Growth and Efficiency Program. So to summarize, we are guiding for accelerated top-line growth starting in quarter two and that is where we are focused, accelerating that top-line growth. As I have tried to summarize, we understand and are on top of the challenges we're working through and we do have a strong, well-funded plan for the balance of the year and we will bring absolute focus to the execution of that plan. So, Sherlon, that's my prepared thoughts and I would turn it back to you now to open the line to questions.
Operator: We'll have our first question from Bonnie Herzog, Wells Fargo.
Bonnie L. Herzog - Wells Fargo Securities LLC: Thank you, hello.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Bonnie.
Bonnie L. Herzog - Wells Fargo Securities LLC: Hi, I was hoping you could drill down a little further on the lower sales growth in North America and give us a sense of the magnitude of each of the issues you called out including your portfolio transitions in home care, retailer inventory reductions and the further slowdowns in the category growth. And then separately, would you say that the retailer inventory destocking in the U.S. remains a headwind or do you think things are improving on that front? And finally are you still seeing softness in the U.S. in April like Procter called out? Thank you.
Ian M. Cook - Colgate-Palmolive Co.: Thank you for the one question, Bonnie. We're not going to drill down further into the U.S. business. We thought we were quite expansive in calling out the specific areas that affected that business, two of them much covered by external press as the quarter unfolded and indeed, as we indicated during our CAGNY remarks. I will say that the inventory reduction pressure seems to be behind us and have abated. As John commented in his remarks, we have seen improvement in category consumption since the fall off in February, and while we don't have complete data for the month of April, I would say that continues to be positive but not sequentially more positive than March.
Operator: We'll go next to Dara Mohsenian, Morgan Stanley.
Dara W. Mohsenian - Morgan Stanley & Co. LLC: Hey, Ian.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Dara.
Dara W. Mohsenian - Morgan Stanley & Co. LLC: I wanted to stick to the U.S. also for a minute and just kind of taking a step back and giving us some perspective or a bit of the state of the union on your view of volume trends here, more from an overall category perspective. It's just – it's pretty shocking to see a 5% volume drop for you guys and understanding some of the inventory cuts and consumer spendings muted, et cetera, all of those reasons, it's still worse than we even saw if you go back to the downturn in 2008/2009. And I don't think it's just you guys. Obviously, you can see it in the peer results, you can see it in the Nielsen data. So just any perspective on what's driving the volume weakness from a volume perspective? And you mentioned you think category growth improves in the balance of the year, but what gives you confidence behind that? And then second, just on a related note, how do you adjust your strategies in light of that? And it sounds like promotion and advertising was clearly a focus a few months ago, but doesn't seem to be paying off to the extent it typically has in the past. So how do you kind of adjust the Colgate playbook that served you so well in the last couple of decades within this tougher environment? Thanks.
Ian M. Cook - Colgate-Palmolive Co.: Yeah, I mean, that's a very deep and complex question, Dara. If you look at that first quarter, much has been said about weather. Much has been said about tax rebate checks and other external factors. From what we can see, with some retailers the tax rebate checks did seem to have an impact. And that is clearly behind us and hopefully will not reoccur next year, but we did indeed see volume decline in several categories and obviously, that is a concern going forward. As I said, we saw it pick up a little bit in March, continued to be better in April, although not at the March rate. We've been doing some custom work around the world, particularly in the toothpaste market to understand consumers' buying behavior and we're not seeing people stopping brushing their teeth. I guess, some of the data that is emerging, in some markets you have consumers who buy multiple packs of the product and store them in their bathroom and when times are uncertain work down their own bathroom inventory before they go back to buy at retail. Now, depending on the marketplace, the on average number of tubes in the home is around two, and with the purchase cycle you have on toothpaste that gives you confidence they're not stopping brushing. They're going to come back to reuse the product. So we think, turning back to the U.S., that it's a combination of the external factors, which are behind us, and the consumer in an uncertain time just working down that home inventory. But we're not seeing their brushing behavior change which, I think, is an important thing. And as John said, from a share point of view, the advertising and promotional activity we have had in the U.S. is producing results in terms of our market share growth as we came through the quarter. So we think that part of the go-to market is robust. It is our estimation that the consumer will come back to the marketplace because their fundamental behaviors have not changed. And I would say trial-oriented promotion is still important in terms of our innovation flow and even our base business. So I think what one has to guard against, consumers are clearly prepared for the right value they perceive in a brand to pay a premium price. And I think and we have said this before, pure price promotion toothpaste volume does not accomplish that objective over the long-term. So it still comes back to innovation and support behind the brand and the innovation over the medium term.
Operator: We'll go next to Kevin Grundy, Jefferies.
Kevin Grundy - Jefferies LLC: Thanks, good morning. Ian, question on the gross margin guidance, which you guys are maintaining the high end of the 75 to 125 basis points, based on John's prepared remarks, but I guess a couple of observations. Number one, you came at the lower end in the first quarter and gross margin comps get a little bit more difficult. And then given the difficult trade environment which you guys are contending with, which shows up in gross to net, it would seem like that would be a part of the strategy to increase that sort of in the balance of the year. And understanding you guys have a strong history with Funding the Growth to offset some of this, can you help us understand that your ability to deliver on the high end, which would suggest sequential acceleration in gross margin improvement, particularly in this environment, which is very competitive, particularly in the U.S.? Thank you.
Ian M. Cook - Colgate-Palmolive Co.: Yeah, Kevin, sure. Let me do one piece of housekeeping as I go through this in terms of our gross margin for the first quarter and that is to give you the gross margin pricing roll forward on the year. So if we start with the prior year gross profit, which was 60%, we got a benefit from pricing of 90 basis points positive. So actually our pricing was up. We got a benefit from our Funding the Growth savings and our restructuring of 140 basis points exactly the same as the benefit we got in the previous year. Material prices were slightly more of a headwind in the first quarter than the fourth quarter or the prior year at 150 basis points. And then we had a modest 10 basis points negative of all other, which got you to the 70 basis points. So fundamentally, on that gross margin, the disproportionate year-on-year driver was negative material costs which traced largely to fats and oils, which went up sharply. And as you've probably been reading in the business press, the crop this year has been particularly strong. And we have seen fats and oils costs now coming down which will, of course, lessen the headwind of the material costs over the balance of the year, which will be favorable to us. And if foreign exchange stays where it is, we will have less of the transaction costs impact hitting us from a gross margin point of view. And as you know from our history, the benefit of our Funding the Growth tends to increase as the year progresses sequentially quarter-on-quarter. So that's how we're seeing it. It's still allowing us to be competitive. Interestingly, if you look at the pricing we have taken in the market over the years when foreign exchange was strongly negative, over the last four years of all of the markets in which we do business, the only two where the pricing we have taken is ahead of the CPI are Brazil and Argentina, which perhaps wouldn't surprise you. So we don't think we've stretched pricing too much and we have an adequacy of promotional and advertising activity over the balance of the year, I think, to stimulate our brands and hopefully categories.
Operator: We'll go next to Steve Powers, UBS.
Stephen R. Powers - UBS Securities LLC: Good morning. So I guess, taking a step back from the quarter for a moment, my question is really whether there's something bigger going on because it's very rare for Colgate to surprise so negatively on organic growth two quarters in a row. And obviously, as you say, you're not alone having heard from Kimberly-Clark, P&G and others. But some of the recent surprises do seem execution related, whether in France or Africa last quarter, pet before that, managing local competition and channel shifts in China, and now U.S. dish. So maybe a little more context around the U.S. dish surprise this quarter and why you didn't have more visibility to the sequential deceleration we're seeing today when you spoke to us at CAGNY and reiterated the intent to accelerate this quarter? But then more broadly, why should we not be more concerned only about Colgate's results, but of the state of the broader consumer goods industry? Because maybe this really does all blow over in the next few quarters as it seems like everyone is assuming, but for now this seems like an abnormally impaired operating environment even relative to the warnings we heard throughout the quarter. So a little bit on your situation specifically, but then your perspective on the broader industry would be great. Thank you.
Ian M. Cook - Colgate-Palmolive Co.: Yeah. I guess, as you might expect, I bristle at the concept of executional issues. I mean, the reason I tried to go through the fourth quarter challenges in summary form this call was to try and put that in some perspective. Frankly, well, India demonetization was an issue that affected everybody, clearly external. From the customer point of view, we had several things going on, including some fairly tough discussions. And we're very disciplined in terms of how we manage our trading terms in order that we maintain the value that is in our brands. And we're also very disciplined in executing to a strategy that we deem is serving the consumers that we ultimately serve. And in the pet nutrition business, that is the shift to ecommerce which we are committed to following. And in the European case, we wanted to be responsible about the trading terms for our brands. And we suffered in both cases. That has now dissipated but, candidly, faced with the same choices, we'd make the same decisions. So they were decisions rather than execution. Africa/Eurasia actually the same. We found the negative economic pressures in those countries put distributors under pressure and it forced us, from a credit point of view, to make a decision. And we did, and we are rebuilding from that. So I would put all of those in the context of decisions made with the exception of India demonetization. And candidly, faced with the same decisions we would make them again and maybe that's just in certain cases the trickle-down effect of the slowdown in world markets as it affects other partners that we work with. Two aspects of the U.S. relates to the consumer and external factors, that is the trade inventory and the consumption weakness. The dish share matter again is a judgment. When you make these portfolio changes and basically change all of the SKUs in your line, you are frozen out of promotional advertising because you have to lock pricing through the transition period, you know you're vulnerable to promotional activity. Frankly, the promotional activity was at a much higher level than we had estimated. We still believe that making that change was right because we have a more competitive offering on the shelf in a more competitive array of packages and price points by channels of trade. And we expect that refreshed portfolio to rebuild over the balance of the year. And China, our e-commerce position is good and our volume market share is fine. We just need to do more to leverage that volume share up and we hope the Naturals premium innovation with more to follow will be the key to doing that. I think the fundamental issue here, Steve, is what are the underlying growth rates in categories and how do companies capitalize on those growth rates. As John said, from a U.S. point of view, we're looking at recovery over the balance of the year but not to prior year level. So our plans consider a slightly slower curve of return. And in the international markets, we are still seeing mid-single digit growth even if it has been more pricing than volume driven at this time and would expect to see that shift a little bit. So we don't think the fundamentals of the business are broken. We aren't seeing consumers changing their behaviors fundamentally, so we think it's a case of working through the short-term and the buying behaviors will recover over the balance of the year.
Operator: We'll go next to Faiza Alwy, Deutsche Bank.
Faiza Alwy - Deutsche Bank Securities, Inc.: Yes, hi. Good morning. So, Ian, I just wanted to talk about, as you think about your algorithm going forward and the 4% to 7% sales growth, and then at the same time you look at your Funding the Growth savings. Do you think that you're doing too much with respect to Efficiency savings? And do you think there needs to be a step change in reinvestment, whether it's on the digital side or more investment in frontier markets sort of recognizing the reality of activism threats, et cetera. But do you think you need to sort of fundamentally rethink the algorithm?
Ian M. Cook - Colgate-Palmolive Co.: Well, thanks, Faiza. That's again a broad question. I must say we tend not to think in terms of algorithms. We tend to think more in terms of strategically growing the business and while the 4% to 7% remains our long-term strategic growth target, as we said in the press release, given the slow start to this year, we expect to be modestly below that range because of the factors affecting the first quarter. We agree your point that brands respond to and we think our brands respond to investment in innovation and in advertising support, and that's why we are so committed to make that investment sustainably over the balance of the year which will affect the year more as the year unfolds. We're very committed to that. We're committed to it digitally. We're committed to it in advertising. We're committed to it in research and development to create an underlying pipeline of innovation that can fuel the business. We're committed to it with the formation of commercial hubs, which in some cases is giving us more resources on the ground to build our brands that particularly applies from a selling capacity point of view in the emerging markets. So we're committed to making those investments. In some parts of the world where underlying growth rates are just slower and have been for several years, it is, I think, untenable to continue to operate the way you have because the business itself does not support the infrastructure servicing it. And we thought as we began our Global Growth and Efficiency Program, we had a wonderful opportunity to use the power of SAP, which drives all of our business to move this commercial hubbing idea, which we had 15 years of experience in very effectively in Central America, move the idea of shared services to service subsidiaries and free them up to operate on the ground. I would add, business service centers staffed by Colgate people, not outsourced, to make us more efficient and free up cost and free up funds to invest in the business. So I think we're very focused on this balance between how far can you go and what do you need to drive the business on the ground or to drive business digitally. And we certainly haven't shied away from any of those investments. So we agree your posture and we're working very hard to execute against precisely that.
Operator: We'll go next to Jason Gere, KeyBanc.
Jason M. Gere - KeyBanc Capital Markets, Inc.: Okay, thank you. I guess, maybe following up on that last question. Seeing the trends that you saw, I guess, in January and February and the guidance that you're providing, I guess, about advertising, I'm just wondering if there was any need to step up some of the, I guess I would say the SG&A investments in order to kind of drive, I guess, the back half type of growth whether did the advertising budget change a little bit more shift to digital. Any other investment capability investments such as addressing more on the online business versus the brick-and-mortar with the slowdown there. So just wondering, over the last couple of months has there been any type of step change in terms of how you're investing over maybe the next year or so.
Ian M. Cook - Colgate-Palmolive Co.: Well, I would say, Jason, I think more reflective of underlying trends than necessarily January and February, we're definitely shifting more of our investment to digital, no question, and we have many, many good, in fact, terrific examples of that. And that will continue and in some markets, I mean Hill's, for example, it's a 100% of the investment. So we will continue to push digital from a social, consumer engagement point of view. We're driving e-commerce as fast as we can. We're staffing separate groups to do that. China, we're beginning to see the outcome of that in terms of market share leadership in that country on e-commerce. So step change not in response to January/February, step change in terms of last year to this year and continuing to revisit the balance as this year unfolds? Absolutely. Absolutely.
Operator: We'll go next to Ali Dibadj, Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Ali.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: So remember when we all debated on these calls whether lowering advertising spend as a percent of sales and shifting much more to trade spend which has grown to about four times your advertising spend, and we were debating whether that would lead to slower growth in top-line and some market share issues, and I guess, I'm assuming you all remember that. In retrospect, do you think that had anything to do, has anything to do with the slowdowns you're seeing today in the top-line, especially when yes category growth has slowed? But there are some kind of dollar share loss challenges, market share kind of challenges out there that are persistent, whether it be Brazil, UK, France, maybe coming back giving Carrefour, or China, India, at least it's more challenging. Mexico, you've turned a little bit. So a little bit of the ad spend postmortem would be helpful. And then as it relates to that, last time you were kind enough to give category growth targets, so North America 2%, Europe flat and emerging markets 5%. Clearly that didn't play out for the quarter, but could you update those numbers as you look forward for the rest of the year?
Ian M. Cook - Colgate-Palmolive Co.: Yeah, well, let me start with the second and in terms of the category growth. So for the emerging markets, in general, we're continuing to see mid-single digit category growth. And as I've said earlier, sometimes more weighted to price than to volume, but nonetheless in that mid-single digit range. As we have said before, the European environment is quite flat, and we would say 1% would be exciting for Europe. And I think, we've kept that generally flat view from a European point of view. I think, from a U.S. point of view, we had been in that 1% to 2% range for the U.S. business. And based on what we're seeing today, I think – before we were even thinking, gosh, we saw some months where it was moving beyond 2% and thought the exuberance of 3% might be on the cards, but I would say category growth in the U.S. you might expect to be to the lower end of that 1% to 2% range than beyond the higher end of the range. But we'll have to see how the year unfolds. On the advertising discussion, Ali, I don't buy that. We continue to invest intelligently at retail. We continue to find ways. I was just in Europe the other week and saw some interesting ways we leverage the dermatologists with promotional activity at retail in France. There are many ways today that you can structure programs that are brand-building, not simply trade spending to build your brands. I agree with you and I think we were clear that we did not want to find ourselves this year in the position of reducing our advertising investment, our below the line advertising investment when faced with some of the surprises everyone has felt from foreign exchange, and we have made that commitment, and we will stick to that commitment. And that's something that will guide us going forward. But I don't think the Colgate advertising stance has affected the category growths. The category growths are what the category growths are.
Operator: We'll go next to Olivia Tong, Bank of America Merrill Lynch.
Olivia Tong - Bank of America Merrill Lynch: Great. Thank you. First just one clarification. You mentioned both in the UK and Africa improving price on base toothpaste. Are you making any changes to opening price points in any other markets? And then just bringing the focus back to the U.S. and sort of the step change there. I guess for, not just you guys, but are you and quite frankly many of your peers just tapping the market in a way that worked for prior generations, but with millennials forming households and this generation that grew up, like, Googling to do their homework and consuming everything on their phones and iPads. They're just not shopping and consuming the same way that prior generations did, they don't hold as much inventory in their house. They don't need to do that anymore, because you just yell at Alexa when you need to replenish something and it comes to your door within two days. And that convenience matters more and maybe in-store promotion doesn't have the same lift that it used to. And if that's the case, how does it influence pack size and innovation? And do you think that the industry, including yourself, is doing enough, because every generation will have differences relative to the prior one, but it does feel like this one is more of a step change than in the past because we've talked about how the retailers are holding less inventory, but what about the consumer too are? And it's not just because times are tough right now. Thanks.
Ian M. Cook - Colgate-Palmolive Co.: Yeah, well, thanks Olivia. I'm going to go home tonight and ask Alexa for sequential organic growth in the quarter. That would be very helpful. But to take your two questions. The opening price point idea. I think the thinking here, Alexa is that – Alexa. The thinking here is that we have an opportunity, as John said, to convert our volume share into higher value and that has – there are two elements of strategy to that. One is innovation that the consumer values that carries a premium price point that helps shift the portfolio over time. The other is finding intelligent ways to group and tier brands in your base business to elevate value with pricing being a component of the value delivered. And yes, the two examples given are the U.K. and South Africa, but it is clearly something that we are considering more broadly than those two countries. On e-commerce, I don't think as you imply correctly that the sort of millennial effect or the new household effect relates to the first quarter category slowdown and this is highly variable around the world. I mean, you've got a situation in Latin America where I think it's over 40% of new parents are already millennials and frankly their shopping habits are not yet highly developed from a consumption point of view on the Internet, but they're heavily influenced by social engagement on the Internet. So we reach them disproportionately through social media, but they shop in the traditional outlets that perhaps even their parents shopped in, maybe some change from a physical location, but it's not yet Alexa online driven. In the U.S., there is more of that shift. We see it most markedly with Hill's, and we like that. I mean, frankly if 50% of our e-commerce business is subscription that attests to the strength of the brand. And when you get to that kind of relationship with consumers is does that require new packaging, et cetera? The answer is yes, it does, and we have a terrific example on Hill's with Amazon where we worked to reshape the packaging in terms of protecting the product. In terms of using recycled material in the packaging in terms of that outer case being recyclable, which is something that the average pet parent that buys Hill's is interested in because it shares their value set. And so yes, when we move down that path, we indeed do all of those things and we're pushing hard. We are the leading company in oral care online in the United States. So we're moving hard down that path but still, in aggregate, in our categories today, the Internet is not a significant part of the business, but we're well positioned to capitalize on it if that hits a tipping point just as we've capitalized on it in China where indeed it is growing much more quickly than it is in the U.S. So should that shift happen, I think we're putting the right resources in place to capitalize on it, but not a significant force yet.
Operator: We'll go next to Andrea Teixeira with JPMorgan.
Andrea F. Teixeira - JPMorgan Securities LLC: Hi, good morning. Thank you. I just want to follow up with the Chinese destocking. I was just hoping that – John mentioned that it was basically due to the shift to online. So I was hoping to see if you can give us any color on how that is evolving, and when do you think that would be behind us? Thank you.
Ian M. Cook - Colgate-Palmolive Co.: Yeah. The way we think about it, as I said our volume share is up a little bit in China, which is good. I would say one of the other benefits we have in China, we have a multinational brand and we have a Chinese brand and I think that helps our market position in China, and strengthens our view going forward. This shift to e-commerce is continuing at quite a clip. So our current view is that it's going to be a couple of quarters before that's completely resolved.
Andrea F. Teixeira - JPMorgan Securities LLC: And on that, Ian, if you can comment. You said about the commentary that Ali had asked on the category growth and, Ian, out of the 5%, could you give us a sense of how you'd be seeing for emerging markets going forward?
Ian M. Cook - Colgate-Palmolive Co.: I'm sorry, I missed the – emerging markets we did say 5%, yes.
Andrea F. Teixeira - JPMorgan Securities LLC: It's still 5%. I'm sorry, yeah. Thank you.
Ian M. Cook - Colgate-Palmolive Co.: Yes, yes, I said that. Yeah.
Andrea F. Teixeira - JPMorgan Securities LLC: Thank you.
Ian M. Cook - Colgate-Palmolive Co.: I mean, mid-single digits around that 5%. Yeah.
Operator: We'll go next to Jonathan Feeney, Consumer Edge Research.
Jonathan Feeney - Consumer Edge Research LLC: Thanks very much. I guess it turns out a little bit of a follow-up on e-commerce and China. Can you tell us, Ian, if you can or give us a sense, how your volume share in e-commerce now compares to your volume share in brick-and-mortar. How is it different, like what's allowing you to gain share in e-commerce right now, like how are the competitive dynamics different, the things you have to do? And how does that market more broadly show us what development of e-commerce is going to look like in North America and Western Europe if it shows us anything at all? Thanks very much.
Ian M. Cook - Colgate-Palmolive Co.: Yeah, so the answer is we lead, but the leading share is below our brick-and-mortar share. That is often the case with e-commerce because e-commerce tends to carry a lot more brands in their list of offerings. So there's still opportunity to expand there. And my gosh, the what's different, I mean everything is different. I think the most fundamental way to say it is that you can't think of e-commerce as if it's a digital shelf. So you have to be focused on engaging with the consumer on the way to transacting with the consumer. And there are many cues to good engagement, including how you show the product, including how you promote the product, including the ratings behind the product. So there are lots of touch points on the way to converting that engagement to sale. There are price points that work. And so we have teams that focus on all of that. The good thing with e-commerce is you get a real data flow in terms of the purchasing behavior of the consumer and you can react in terms of the way you go to market and offer your product to that consumer. And we're always trading ideas between what is working in the United States and how is the Chinese e-commerce business unfolding.
Jonathan Feeney - Consumer Edge Research LLC: And Ian, when all's said and done, will e-commerce, will a fully developed or a largely developed market whether China or anyplace else in e-commerce, in your opinion, wind up. I mean, can it be a more profitable market for Colgate?
Ian M. Cook - Colgate-Palmolive Co.: I would say the answer to that is yes.
Jonathan Feeney - Consumer Edge Research LLC: Thank you.
Operator: We'll go next to Bill Chappell with SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Good morning.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Bill.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Ian, just a couple actually specific questions on the quarter. First on the hand dish issues in the quarter. I mean, was that a surprise? I imagine you've restaged products before and seen competitive pressure, so I'm just trying to understand what was the disconnect in the quarter from what you were expecting. And then also on pet, you'd talked about weakness or John talked about weakness in the pet channel. Was that largely just in line with the channel or were there still some carryover from the issues you've had specifically with the retailers and some of your brands?
Ian M. Cook - Colgate-Palmolive Co.: Yeah, to answer the second first. Yes, there was the lingering overhang of the issue we talked about on the fourth quarter which, in thoughtful language, we tried to convey is in the process of being addressed and should start to see a benefit back as we move through the balance of the year. So the answer to that is yes. I guess what was surprising about – two things about hand dish. Number one, it is rare that we restage an entire portfolio. But we felt from a competitive point of view that we not only had to make and wanted to make formula improvements to our product, but we wanted to completely reshape the sizing and pricing to compete in the different retail outlets more effectively. And with major retailers, you're given one window a year to do that. So either you do all of it in one go or you do one bit this year and then the next bit a year later in which case the sizing and pricing wouldn't harmonize effectively. So we made the judgment call to do it all in one go. And I guess what surprised us was the intensity of professional reaction in that category. That category was actually down from a consumption point of view quite significantly, and the competitive reaction perhaps because of that decline was, I think, four times the normal level. And we were frozen on pricing because we were making the change, and so we took a disproportionate hit. Now, I think the thing here now is to look forward and say that reset is almost completed. We have a better product, better packaging and sizing and pricing portfolio on shelf, and we have the trial building advertising and promotion just commencing, so we're looking to recapture that share with a better offering as we go across the year. So I guess that's the answer.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Got it. Thank you for the color.
Operator: We'll go next to Lauren Lieberman, Barclays.
Lauren Rae Lieberman - Barclays Capital, Inc.: Thanks, good morning.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Lauren.
Lauren Rae Lieberman - Barclays Capital, Inc.: Hey. So I want to ask a little bit actually about productivity. So what was in the press release, and I think in the prepared remarks you talked about the final year of the Global Growth and Efficiency plan. You're looking for further opportunities. I wanted to be clear if that was sort of further opportunities in the confines of that program end this year, or if that's also about looking forward as to what comes next and just some broad thoughts around opportunities to bring down SG&A levels? Thanks.
Ian M. Cook - Colgate-Palmolive Co.: Thanks, Lauren. Yeah, I would sort of come at that from where you ended rather than where you started. I think what we are focused on is incremental opportunities to address SG&A, and obviously we would like that to impact the business consistent with our current Global Growth and Efficiency Program timing. If that intense focus reveals future opportunities that we should consider, then we will clearly do that and be transparent about that at the appropriate time, but it is really a sharp focus on how can we meaningfully impact within the confines of the current program.
Lauren Rae Lieberman - Barclays Capital, Inc.: So, Ian, does that mean that this year the outlook is dependent on coming up with more SG&A programs to fund the advertising you already are planning on doing?
Ian M. Cook - Colgate-Palmolive Co.: Absolutely not.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay.
Ian M. Cook - Colgate-Palmolive Co.: Or no.
Lauren Rae Lieberman - Barclays Capital, Inc.: Right, so I want to be clear on is that that this year context and looking to do more.
Ian M. Cook - Colgate-Palmolive Co.: Yeah, in other words, this year context is looking to do more than is in our plan.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. Great. Thank you so much.
Ian M. Cook - Colgate-Palmolive Co.: Sure.
Operator: And we'll go next to Mark Astrachan with Stifel.
Mark Astrachan - Stifel, Nicolaus & Co., Inc.: Thanks, and good afternoon everyone.
Ian M. Cook - Colgate-Palmolive Co.: Hey, Mark.
Mark Astrachan - Stifel, Nicolaus & Co., Inc.: Wanted to ask about how you're thinking about monitoring responding to local competitors in key markets where, like, China you're seeing this becoming more of a source of competition. And then related to that, is there a category that as you look at those local competitors, you're more concerned about potential share change becoming better competitors. And it would seem from the outside looking in, it's oral care sort of the obvious one, so maybe you could talk about that a bit and sort of go from there?
Ian M. Cook - Colgate-Palmolive Co.: Yeah, I would say many have mentioned this, local brands have become more of a factor. Their effectiveness actually varies market by market. We have a space in Latin America, and they have ebbed from the sort of five share points that they got to. I guess, China would be the most obvious and I tried to address that in my China comment, which is to say I think because we have a portfolio that includes both a, you might say, local brand and Colgate that we're quite well positioned there and indeed have opportunity to take premium up. The way to meet local brands, at least so far in our experience, is you have to cover their positioning. And in the case of many local brands around the world these days, indeed as we are doing with Tom's in the United States, but many of them attack the marketplace with a kind of a naturals view, so whether it's India or China or other parts of the world, we have some naturals innovation that we are bringing to the marketplace. It can be different market by market but the general idea is naturals and we think that is the weapon, remembering in China that Colgate has held share for the last eight years, that we think that kind of offering and shall we say China for Chinese advertising is the key to the local brand. So they will be there. Some have interesting concepts, and I guess the job of the marketer is to meet the interesting concept. And that's what we're trying to do.
Ian M. Cook - Colgate-Palmolive Co.: Okay, so thank you. I understand that's the last question. Thank you for all of your questions and interest in the company. And Alexa, sell more.
Operator: That does conclude today's conference. Thank you for your participation. You may now disconnect.